Operator: Good day and welcome to the WidePoint Corporation Second Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to David Fore of Hayden IR. Please go ahead, sir.
David Fore: Great, thank you operator. Good afternoon to all participants in the WidePoint’s second quarter 2015 financial results conference call. With me today are WidePoint’s Chairman and CEO, Steve Komar; and Chief Financial Officer, Jim McCubbin. Steve will provide an overview of the quarter’s developments and accomplishments and Jim will provide additional financial details and operational view and outlook. Then, we’ll open the call to questions from participants. Before I turn the call over to Steve, I’d like to remind all participants that during this conference call, any forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including financial guidance and similar expressions including without limitation, expressions using the terminology may, will, believe, expect, plans, anticipates, predicts, forecasts, and expressions, which reflects something other than historical facts are intended to identify forward-looking statements. These forward-looking statements involve a number of risks factors and uncertainties, including those discussed in the Risk Factor sections of WidePoint’s Annual Report on Form 10-K, its quarterly reports on Form 10-Q and other SEC filings the company releases. Actual results may differ materially from any forward-looking statements due to such risks factors and uncertainties. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events or circumstances that may arise after this conference call, except as required by law. I would like to turn the call over to WidePoint’s Chairman and CEO, Steve Komar for opening remarks. Steve?
Steve Komar: Thanks David, and good afternoon to all of you that have joined us here today. I know it’s a busy time for each of you and I wanted to assure you it has been a pretty busy second quarter for us. And at this pace is continue to accelerate into the third quarter. There are several recent developments and accomplishments and I would like to share with you today and of course our team would like to express our continued appreciation to all of you for your interest and support of WidePoint Corporation. First let me point out, that our second quarter results were in line with our overall expectations and year-to-date projections including the second quarter revenues that increased over 40% from the year earlier quarter and going approximate 60% increased over respective year-to-date periods of revenue performance. With year-to-date is now totaling over $35 million serving to act as a springboard and putting us in potential reach of our aggressive full year revenue targets. While this positive revenue result was realized, we consciously continued and even intensified our investment expense spending on several of our development and sales and marketing initiatives, and support of our target market penetration happens. This definitely included our next generation identity management platforms our sales and co-marketing BYOD [ph] programs with our key cyber relationships and deploying added technological capacity to ensure timely responsiveness and support that anticipated new awards and commercial opportunities coming to us during the second half of 2015. As we noted in our previous quarterly call and I’ll reiterating here first quarter revenue growth were slightly better than what we had expected as the result of the timing of certain transactions and when combined with our second quarter performance, the first half of the year was on track and within forecasted expectations. Jim will discuss the particulars of our financial performance and investment spending in his prepared remarks, as well as offer an outlook for the remainder of the calendar year. However, I’d like to first scan over the several of the highlights as we look back over recent activity. During the second quarter, and first half of the year, we were pleased with many of the milestones that we have been able to achieve. The U.S. immigration and customs enforcement agency within the Department of Homeland Security completed its implementation quickly, efficiently and with the large group of happy end users. This outcome added additional annuity based revenues during the second quarter, supplementing those achieved in the first quarter primarily as a result of the accelerated implementation schedule. The effort constituted a great job by everyone involve there was indicative of the focus teamwork and performance on the part of all our staff. This leads us to tackle next three remaining major component agencies the U.S. Coast Guard, the U.S. Secret Service and the Federal Emergency Management Agency. As we continue to pursue and engage these remaining target agencies we believe that the set believe that the success we have achieved with other DHS agencies that are now our satisfied customers will hope us into addressing and resolving the complex transaction issues facing these through remaining organizations. We and DHS headquarters believe that the management tools, efficiencies and cost reductions our services will bring to these three agencies will results an adoption of our offering, and allow them to experience the benefit that our other DHS agency customers are presently enjoying. While the DHS BPA represented a large portion of our growth over the past year and we have continued success should lead to additional growth in the future, it was not the only opportunity we have invested into support our targeted growth rates in the quarters and years ahead. Our UK based analytics offerings also continue to experience growing success and strong financial performance. During the quarter, our team successfully launched a new online bill presentment and analytics solution with 3-Ireland. 3-Ireland is formerly British Telecom Ireland and has now become a subsidiary of Hutchison Whampoa International and is branded throughout its markets as the level 3, a number three. And also we’re selected by Telefónica UK for the provisioning of cloud digital services. We believe these two multi-year, multi-million euro opportunities with major communication service providers in the European community should continue to provide new business growth and infrastructural support as we further expand the analytics offerings into the North American market, and as we cross-sell and support our U.S based services into European and Middle-Eastern markets. And of course, there are various cyber security initiatives which represent a major business building commitment and pathway to accelerating new revenue growth and attractive gross margins for WidePoint. We are very pleased with the progress we had made in our prudentially and security consulting initiatives. Our cyber team continues to work over time to bring the reality and production readiness, the product and services roadmap, they have laid out with each of our key critical departments. Our goal is deploying Certificate-on-Device for individuals, devices and also middle for the Internet of Things have progressed nicely. Our derived credentialing capability has also been well received and our ability to integrate with the wide variety of devices continues to expand from smartphones and tablets to other machine-to machine devices that need the security that are multi-factor authentication offerings can provide. The recent cyber reaches throughout industry and more notably in major government agencies. Clearly have redemonstrated this need for a more secured IT environment. It’s pleasing to report that we have witnessed a higher level of concern and interest from a variety of organizations today, more so then we have it any other time in our test. In fact during this summer, the U.S. Federal government initiated an inter-department cyber sprint to identify and close gaps in the Federal government secured infrastructure on an accelerated basis. This effort has resulted in a dramatic increase and the level of interest in our services supplementing business pipelines and it’s lining up nicely with the release in introduction of many of the next generation identity management solutions in which we have been investing. As a direct result of the increased level of activity and the formalization of our newest channel partnership with Samsung, we continue to believe that our timings are appropriate and our investment in these capabilities in support of our in-place partnerships should visibly begin to bear fruit in the second half of this year. Looking further out and into the development and evolution of the so called Internet of Things, we see additional demands, requirements and opportunities with the high integrity proven mobile security solutions we offer. Today and we’ll develop and offer in the near future. These new capabilities are geared toward an increasing array of devices, including next generation mobile devices supporting other hardware as well as sensors and cameras, used in secured and mobile environment in medical, transportation and facility of residential protection amongst others. Given the progress we have made with our development efforts and partners in general, I’d now like to offer a quick update as to where we stand with each of our three primary handset or OEM partners. We continue to work closely with Kyocera, LG Electronics and Samsung as well as several other selective partners to bring our Certificate-on-Device solutions to commercial and federal markets. Kyocera has launched several recognized handset models geared toward the first responder and law enforcement community customer segment and as working with us an incorporating a security certificate into their handsets for those markets. We’re also working closely with LG’s sales and marketing organization on the pending market launch of their next generation Cert secured handsets. And finally with Samsung, we are now integrated into their KNOX and CellWe branded product suites and have work closely with their enterprise group to complete the integration of our Cert-on-Device with their handsets. As a partner we are well long with our co-marketing with Samsung on several exciting opportunities that we’ve been jointly planning and working on for many months and we look forward to bringing those into our conversations in the future. Thus far the majority of our across the board, next generation and identity management activities and opportunities have been in what we call Phase 1 stages and as we’ve already mentioned the impact on revenue during the first six months of the year has been minimal. But we do expect to see an increasingly meaningful step up in revenues from these offerings to multiple markets during the remainder of the year. As an example of early efforts and partnership with major telecommunications service provider we have completed the first phase of our work as a large financial services client and providing a roadmap to the application of our security technologies, architecture and services. We’re now moving to the second phase of implementing an enterprise wide security solution that needs this large financial companies customized needs along with the potential for ongoing maintenance and related expansion opportunities. We’ve also recently started working with two new commercial enterprise on Phase 1 efforts and our responding to new business revenue opportunities to provide technical cyber consulting services to support our partners’ needs as well as if they’re ultimate commercial customers. As we’ve noted in the past in most cases, we’re not serving the end users directly, via the agencies or commercial enterprise as they are the customers of our partners. As a result, we have somewhat limited influence regarding product release dates and product life cycles, partner marketing and sales launch timelines, market adoption rates and implementation timing. With that softness in mind, we had invested significant efforts and understanding our respected partners target markets, priorities, and frankly stay in power. It should go without saying that we have chosen our partners carefully and believe in their commitment to secured solutions but they are respected marketplaces. We’re confident that the hard work investments that we made in the past few years, and especially in the first half of 2015 should start to payoff in the second half of this year and beyond. Our target markets are large and growing and potentially very lucrative for us. Given our competitive differentiators such as contractual exclusivity reputation in the federal market and demonstrated quick-to-market technological implementation. We believe we are uniquely position to begin harvesting as rapidly expanding revenue source. As we stated earlier this year, our pathway to success and therefore our highest priority effort in 2015 is to focus on several key critical initiatives which simply refresh those files, complete our plan to install scale and leverage our DHS BPA relationship. Product size, market and sell our Cert-On-Device and next generation identity management offerings. Grow our higher margin businesses and revenue stream and grow our state local and commercial markets penetration features both here and abroad. All of this while aggressively controlling spending and optimizing our investment choices all of which should collectively help us achieve the goal of delivering positive financial leverage to our bottom line as we continue to grow and progress through 2015 and into the future. With that, I would like to thank you for your attention to this overview of indicators of our progress and for your continued interest at this exciting time for us. I’d now like to turn the call over to Jim McCubbin, WidePoint CFO for an in-depth discussion of our quarterly financial results and put this outlook as we enter what should be a very attractive second half. Jim, the floor is all yours.
Jim McCubbin: Thank you, Steve. Hello, everyone. Thank you again for joining our call today. Today, in my remarks, I’m going to discuss and review our second quarter 2015 financial results and provide an outlook and update at this point in time on our financial goals, targets, and expectations for the second half of 2015. As Steve has commented our first revenues met our expectations with the first quarter being a bit ahead of itself and the second quarter slightly behind as a result of some revenue recognition delay and getting customer acceptances and approvals as well as getting some new cyber product launch with our Samsung partnership and development efforts which ramp slightly longer than we had anticipated. Nonetheless, we’re clearly excited about our recently announced second quarter partnership with Samsung and the integration efforts that we accomplish in this quarter. Revenues for the first half of 2015 rough approximately 59% and 41% over the respective periods in 2014, carrier services continue to drive revenue growth with our onboarding of the respective DHS component agencies. In the second half of 2015 assuming the onboarding of the remaining DHS component agencies, we could see carrier services continue to expand. In regards to our other managed services, we believe that the federal sprint should help accelerate our next generation identity management solutions within the federal marketplace. Our AT&T partnerships should help expand and build out our cyber commercial opportunities, our DHS BPA of course should continue to expand our mobile managed revenues outlook, our partnerships in Europe should drive additional analytics revenue as well as out state local marketing push should deliver new additional revenues in managed mobility services. All in all, our pipeline appears to be expanding on many fronts which should allow us to drive towards achieving our revenue goals in 2015. And looking at gross profit, we had $6.9 million and $3.3 million in the first half and second quarters respectively as compared to $6.1 million and $3.6 million in the same period in 2014. The slight fall off in the second quarter 2015 was due to the building capacity and making investments and expectation of additional work in the second half of 2015. These investments included automating and streamlining our electronic data interfaces, [indiscernible] interfaces and platform consolidations. Given these investments we believe our processing and timing cost to perform our work should improve driving better margins, while providing our end users with improved performance analytics and of course an improved user experience. We also believe margins should improve as we complete the development work in our next generation identity management services and realized new revenues that should deliver a higher revenue mix of higher margin services. Now looking at our SG&A expenses, we’re also in the process of leveling off the investments that we’ve been making to achieve our SG&A targeted goals. The first half of the year and the second quarter of 2015, we invested heavily in many different areas as Steve has discussed. Our SG&A expenses of approximately $9.2 million and $4.6 million for the respective first half and second quarter 2015, compared to approximately $8.6 million and $4.7 million for the same period in 2014. Given some of the recent optimization efforts we’ve made to our business model, we believe these costs should level off, its not fall slightly in the second half. Our investments into our development efforts are being expensed as we’ve realized them within general administrative expenses. This does map somewhat our true operating performance. As we are absorbing these development costs today and not yet realizing material revenue streams from our efforts. We do believe that as our revenues continue to expand, that these SG&A cost on a percentage basis should fall and become more representative of our true financial metrics. Given that our outlook remains positive, with an outlook for increasing revenues, improved margins and leveling off were slight decline in our SG&A expenses, we should witnessed improved financial operating performance in the second half, principally in line with our plans and goals. So with that, we would like to now open the call to our listeners’ questions. Operator, if you can assist us by opening the line and sequencing the questions and comments from our listeners that would be greatly appreciated.
Operator: Thank you. [Operator Instructions] And we’ll go first to Mike Crawford with B Riley and Company.
Mike Crawford: Thank you. Steve what are your aggressive full year revenue targets?
Steve Komar: That’s a fair question, Mike. But I think I’m going to refer that to Jim, because I know we historically had not given any definitive guidance and regard to future revenues.
Jim McCubbin: Hey Mike, let me start off from the beginning of the year, our goals were to me 50% revenue improvement. We finished last year about 52% that should put us anywhere in that 75% to 80% plus million revenue range. Right now we’re running at approximately 70% plus million revenue run rate with right now a very, very strong pipeline looking into the second half, now while we don’t control that completely things are looking up with the number of the relationships that we’re working with presently.
Mike Crawford: Thank you, Jim. And then given the delay integrating with Samsung or maybe moving beyond Phase 1 and some of the highlight projects it’s fair to say that you don’t expect dramatic increase in gross margin in the third quarter, and so that would be a quarter that would be unlikely to achieve positive EPS, but perhaps little bit or something like that in the fourth quarter?
Jim McCubbin: Mike, that’s a tricky question to answer right now, because we’re kind of closed an inflection point and we do have a tremendous pipeline of opportunities just right now all about can we get it the revenues recognized can we get the work performed in and that time. So we’re not quite ready to say that could be the case or not, its not because of the pipeline, its just really about getting the work done and performed timely, in fact in the second quarter we had revenues of around $400,000 to $500,000 that we just couldn’t get approvals along for the revenue recognition which you know so – we have little give and take in the quarters and that’s place out right now. Traditionally the third quarter though is very strong as the federal government’s year end. So right now, it’s just the hard halt to make, simply by the way.
Mike Crawford: It’s moving in the right direction its little hard to tell exactly moving inflection point to reach, thanks. And the with just one or two more if you don’t mind, one the large finance with services client that number between second phase, the second phase does that still actual pilots where you start to recognize monthly recurring revenue, service revenue per impact.
Jim McCubbin: Mike, we’re actually kind of very excited about this. Phase 1 for this large financial institutions was really providing consulting roadmap on how the issue deploy our services, in the third quarter, we should be getting Phase 2 started which is actually the deployment of some of our next generation identity management services which then we will probably take a period of time to get fully deploy. But we are very excited about that. And on top of that we started Phase 1 with two new commercial clients as well. So as we propagate this further we are hoping this really spreads and especially given our AT&T relationship that continues to develop we think that could lay a strong push for us in the commercial world.
Mike Crawford: And as the expectation that – you will be the customers were will be paying AT&T and then AT&T will be remitting to use some kind of monthly service fee that could range from as well as $1 to as high $5 per device month?
Steve Komar: Mike I think the pricing range you should talking about is one that we have acknowledged and we believe to be a valid pricing range as to your – the earlier part of your question as to whether there is going to be a direct bill from the ultimate client to us whether its going to be through AT&T our experience to-date has been that it will be deal specific, it will be depending on the specific terms of the agreement with the customers. So it maybe through AT&T with the pass through to us where we might in some cases be the primary recipient of the government.
Mike Crawford: Okay, well. Thank you very much. I’ll hop off.
Steve Komar: Thanks a lot
Operator: And we will now go to Mike Malouf with Craig-Hallum Capital Group.
Mike Malouf: Great, thanks guys for taking my questions. Jim, I could just drill down a little bit more into the gross margins for the June quarter. I know that the mix in the first quarter was unfavorable, then we went actually down another 120 basis points in the second quarter or so. Can you just help us for that a little bit and you’d mentioned that you had a bunch of extra spending was there extra spending in the gross profit, are the cost of good line.
Jim McCubbin: Mike, we had a full quarter of highs [ph] come in on the carrier services and then which drove down a little bit and then we had about the $400,000 to $500,000 in revenue high margins that slipped into the third quarter. So it was more of a timing of that. And that all that happens it was very simple. So we had more in carrier services because of full three months of highs [ph] and we had some slippage on the revenue recognition that some high margin services.
Mike Malouf: Okay, got it. And there is no extra spend on the cost of goods at all, correct?
Jim McCubbin: What we – no, no, that’s not correct at all. We did, we have in the second quarter and first quarter, we’ve been building extra capacity.
Mike Malouf: Okay.
Jim McCubbin: And anticipation of more working revenue in the third quarter and fourth quarter, as far as our investments lot of the investments we’ve made as to make sure that we can handle some business coming in that second half. So we did…
Mike Malouf: How much has that been?
Jim McCubbin: I don’t have the exact details right now, couple of $100,000, $200,000, $300,000, $400,000. Okay, more about having extra labor – more labor than we need right now. We just are trying to be prepare as we go through this.
Mike Malouf: Okay, great. And then I’m wondering if you could just share a little bit color on the go-to-market different go-to-market strategy as we look out over the next 12 months specifically what the sense on opportunity. And just as you go through this how things are developing for you do you really curious on the insight on that.
Jim McCubbin: There is two things I want to tell you, lets kind of as you said drill down. One a greatly figure looking forward, digital identity management, okay, okay, there was a study that went out nine of the ten responses by IT professionals in this next year, said they were going to be focusing in their cyber spending issues on digital identity management, okay. A lot of the big push now on defensive cyber security is in identity management right where we’re playing and lot of spendings going to be occurring there, in fact it is one of the number one pushes by the federal government in their sprint to try to lock down their infrastructure that is clearly beneficial to us and what we’ve have been building and deploying. How we’re building and deploying it, is through partners. Right now, we have Samsung really focusing Phase 1 on federal capture and getting devices and tablets within there, try to gather what we’re – what we build in conjunction with them and integrated with their Knox and CellWe, as well as other MDM applications that we support. Why this is important is – there is a lot of programs right now, focused right on this spending area, and some of them are within the DHS and some of them within the DOD and we’re in very good position with them. Samsung more specifically has set up and are demonstrating our mutual solution within their DC offices and it is live. One of the great things about the spending and investments we made in the second quarter is we – get the relationships done, we also fully integrated our ITMS as well as our digital credentialing capabilities into their platforms. So that’s where the marketing is going as we dig further down with Samsung and they’re focused on the federal space first because that’s where the low hanging fruit is. As it goes to LG, more classically looking at the commercial sector as it goes to Kyocera more focused on some of the our fees and spending on the first responders and their hardware devices. We have a full product roadmap over the next two years that is allowing us to do this on all mobile devices, including Apple, HTC, Samsung, Kyocera, LG as well as the tablets and migrating that further along into machine search derived credentialing as well as ultimately the Internet of Things as Steve talked about. So step one is the mobile attack, step two other devices and then ultimately step three, the Internet of Things. If you looked into Samsung’s big push, ultimately their endgame is addressing the Internet of Things, our solutions are supporting that. So does that answered a little bit?
Mike Malouf: Okay, great. Yes, yes, that’s very helpful. I appreciate the color.
Operator: [Operator Instructions] And we will now go to John Harrell with Harrell & Associates.
John Harrell: Yes. So you guys prepared to – earlier in the statements you said that you’re going off or back half of the year outlook. Are you prepared to give revenue guidance as well as earnings per share or are you guys going to once again differ to analyst?
Jim McCubbin: Well, right now we have the only guidance that we’ve given is what our goals are to achieve. Which as we start the year with 50% revenue growth so over the last year as our service well as, be in operational, – meeting operational performance and positive performance by the end of the year. We’ve given at that beginning of the year, we still believe we can attain those goals, that’s where we are right now. We do not at this time because of the size of the company and where we are provide absolute guidance, we don’t have that absolute visibility and when we do and we mature further we will.
John Harrell: Okay. So this quarter’s earnings will miss pretty badly on the EPS side as well as the revenue side, at least this regards to what analyst were forecasting. So next quarter you’re forecasting $0.01 EPS and $20.58 million, you guys think you could beat that, come in line, you’re going to be a little bit under any projections at all?
Steve Komar: We are not commenting yet, as I said we have a very strong pipeline, we are not in control absolutely of that pipeline and we are working to meet our goals for the second half that is only the guidance that we are providing at this point.
John Harrell: Yes, it just seems like every quarters, the quarter that shareholders expect the company to finally its going to profit, yet it never happened. But thanks for answering the question.
Steve Komar: Thank you.
Operator: And we will now go to Michael Needleman with JSAM.
Michael Needleman: You talked a little bit about the deployment for the financial services being in the commercial side can you share, how is that sale come about was there a partner involved and you also talked a little bit about two new clients and did that come from AT&T?
Steve Komar: Easy answer, yes. Yes the financial services, which obviously a giant – a very large company was directly result of our AT&T partnership as our, at least two others that are in the pipeline today. Very similar format, profile and again we are in Phase 1 and limited in how much detail we can discuss. We look forward to be able expand on our near future.
Michael Needleman: And just a quick follow-up on that, and then I have one other question, when you went to that process, would you actually involved clearly you were with the financial services, because you talked about the deployment. Where were you brought in –in that sales process was it early or did AT&T after having discussions bring you in?
Steve Komar: It was quite early now I’ll also share with you that becoming a preferred service provider to AT&T does not in a designated providers its not an easy process. So we were in early in terms of having spent well over a year proving ourselves and our capabilities to AT&T before they put us into their sales challenge. And then when we got involved in this particular transaction with the financial services company, we will bought in very early in the process. And AT&T is quite demanding about the level of comfort, support and credibility that they want from their partners. And that is another reason why we had to have some upfront incremental spending in sales and marketing area to support and launch these initiatives.
Michael Needleman: Between and what you just talked about and what you expensed in Samsung, is there a range of what you think that that spend was this quarter?
Jim McCubbin: Michael, it’s Jim. Hundreds of thousands of dollars that is embedded in an number of areas because we invested in a number of platforms, a number of optimizations, new developments, number of partners, sales and marketing, it was pervasive throughout the organization.
Michael Needleman: Okay. And my last question to you is given the outlook or what your perspective outlook for accelerated sales in the second half and given the spend that we watched the first half, are you suggesting or did you suggest I just want to be hearing this correctly that you are expense side of the ledger you should be flat or did you also say that there is a possibility that could be down.
Jim McCubbin: No, I clearly said where we are right now and trying to achieve our goals, we should see a flattening out of our SG&A and as not as slight decline, because some of the real heavy push that we did in the first half has come to an end and we’re moving on to new areas. So there is a little bit of the low as we’ve been start pushing into the rest of our product roadmap which includes really addressing devices and the Internet of Things as we got into 2016.
Michael Needleman: Thank you.
Jim McCubbin: So you’ve heard correctly Michael.
Michael Needleman: Thank you.
Steve Komar: Thank you, Michael.
Operator: And we will now go to Jim Kennedy with Marathon Capital Management.
Jim Kennedy: Hi guys.
Jim McCubbin: Hi, Jim.
Jim Kennedy: Hi Jim, quick questions for you on the commercial enterprise side, can you say what industries your two new clients are involved in?
Jim McCubbin: Pharmacy and I’m not allowed to say anything on the other one.
Jim Kennedy: Okay, so…
Steve Komar: Pharmaceutical business.
Jim McCubbin: We’re gag now, we’re pretty much gag, pretty tightly right now, so…
Jim Kennedy: Okay, so….
Jim McCubbin: I know in depth and reference want to pharmacy.
Jim Kennedy: Okay. So you’ve got one in financial, one in pharma, can you confirm that the third one is in neither of those industry?
Jim McCubbin: Yes.
Jim Kennedy: Okay. So you get three different industries.
Jim McCubbin: We’re looking at – we’re looking out in such things with our partners various different industries and we’re building a roadmap that we can try to expand that as we build out the education and training with the AT&T sales force and next up is trying to train and expand our other partner’s sales force.
Jim Kennedy: Good.
Jim McCubbin: So we’re focusing on low hanging fruit, first though because unlike some of our larger well funded competitors we have to kind of optimize our cost so they are just spending uniquely millions and millions of dollars we’re taking a little bit more of a pragmatic view
Jim Kennedy: Okay. And then last question is on the pipeline, can you characterize the pipeline a bit for us in terms of obviously it is growing, can you give us a little more color as to what makes it in the pipeline or these prospects or the alpha, beta or the trials, how do you delineate the various folks in the pipeline.
Jim McCubbin: And that’s a very good question. It broad based number one, within our areas our pipeline we’re expanding in four different areas one the mobile side, for our Telecom Lifecycle management work. Two, our credentialing in cyber side, three our analytic side and then four our consulting side. The – when I take and we talk about pipeline, we take a look at greater than 50%, its not 80% likelihood close. On top of that, on each of the four areas we’re focusing in distinct areas that we’re testing out, we have a big focus on commercial right now, because we want to prove out the ability of taking our services from the federal level to a commercial area, because there is a lot of unique value there to our stakeholders and shareholders. And then two, we’re also have a strong push in state local and hopefully, we will see some strong awards in the state local marketplace as well from the municipality side. On the cyber side.
Jim Kennedy: Yes.
Jim McCubbin: Our focus is more federal for the low hanging fruit though. Okay for things of more size and then smaller engagements with the large enterprises to get them going.
Jim Kennedy: Okay. Of those four areas, can you comment on which are the strongest in terms of pipeline?
Jim McCubbin: Right now the strongest I would have to – I think what you mean is, what have the largest revenue opportunity. I would say federal, okay, because of the sprint and the push that is going on because of the recent hacking that is occurs its really kind of engage them to do things at a higher broader level. After that I would say some of the state and local opportunities are quite large. Because of the need to either save money and get control of their expenses as it concerns mobility and/or cyber as it concerns how they are going to really control some of the access because of all new mobile devices. After that I would then go to commercial, okay, in cyber and analytics, we’re going to – analytics we’re going to we see some strong opportunities that are multi-million dollar opportunities over the next three to five years because of the two new recent relationships abroad. And then finally I would say consulting because we’re starting to build out our cyber consulting practice to address the pipeline of opportunities we think will see – so we can scale there on the commercial side as it addresses how to in fact, take a lot of our identity management services and deploy them in these organizations.
Jim Kennedy: Got you. Okay, and you mentioned the word or you said that there are several, I guess the multi-million dollar opportunities, are there also opportunities in the pipeline that get into the eight figure and up range in terms of potential?
Jim McCubbin: Well, right now we have opportunities ranging all the way from the – six figures into the seven figures. I don’t think I would want to classify any as eight figures at this time. There is a couple opportunities as they grow, that they may grow into that. But I also don’t want to get – the horse in front of the cart either. We’re really focused on our netting right now and just getting things adopted and going. And then we believe it will scale.
Jim Kennedy: Okay, very good. Thank you.
Jim McCubbin: Thanks Jim.
Jim Kennedy: Yes.
Operator: And we will now go to Sam Donaldson, Private Investor.
Sam Donaldson: Well, gentlemen, it seems to me that you made – the company has made good progress at the plans where I think the September goal, and of course that trend as we see demonstrated by the losses of these quarters call free increased spending. And so my first question is does the company have in hands enough money as you project spending possibilities for the next several quarters do you have enough money in hand to meet the spending nearly.
Jim McCubbin: We believe so Sam.
Sam Donaldson: Yes, that’s a short answer.
Jim McCubbin: Sam, I’ve no need too long, I’m not going to get on the other end of a phone with and I know you are going to get me down one where the other so I’m just cutting to the chase with you but.
Sam Donaldson: That’s fine.
Steve Komar: We do – Sam, we do forecast out through the fourth quarter there is a matter of course in each one of our quarters and we feel that we are adequately funded through a combination of cash availability, our balance sheet net working capital and our standby line of credit. We do not expect to takedown the great bulk of our existing available liquidity. We believe that we will get the profitability well before that happens.
Sam Donaldson: Well. That’s excellent, because I – I think none of us where going to the market as you did over a year ago to get the money to make this expansion and build out the capacity and as a fact that you may not have to do that again is I think various company. Let me just try one more along the lines and others have tried in this call, because you talk about goals Jim and Steve and I think one of the goal first to the year of was that you hope to be profitable but the end of this year, this calendar year, but with the delays you discussed occurred what do you think a reasonable estimate for breaking into profitability might be.
Jim McCubbin: Sam, right now the pipeline is so strong and well, it’s not fully on our control. I don’t think we’re changing our goals right now. Let’s get through the third quarter when we have a better feel for things, then discuss it then. That’s all I think we can say at this point I think is premature to all the sudden start kicking the ball down with the visibility that we have at this time.
Sam Donaldson: Okay.
Steve Komar: Sam, thank you for the opportunity for me to back half my earlier conversation with you a quarter ago, but I must tell you, I would go to Jim’s comment and say a true estimate of that will be much more credible at the end of the third quarter when we see how we do against our existing pipelines and opportunities, but our goal is still to be profitable at year end.
Jim McCubbin: No, operationally profitable – cash flow basis we want to see that going in the right direction and moving forward Sam. I mean our goals got to change.
Sam Donaldson: That’s an excellent answers as far as I’m concern, because granted you can’t know until we see the first part of the second half for the year, because that will impact the second by the first quarter. But what you have said to us, as I gathered, is that you see nothing at the moment, that you got to say well, no I think its probably not possible you haven’t said that, you just said yes, that’s still to go and little tough that’s in the fourth – I don’t third quarter conference call.
Jim McCubbin: Hey, Jim, I want to read you something quickly, that really point to the size in the market opportunity. Okay and why we’re building out credentialing, identity management, why we are building out everything to address the Internet of Things. This is recently just came out and its basically our society is progressing to a point where nearly every electronic device whether it would be home appliances, medical devices, vehicles or tools will have some form of embedded connectivity, billions of new unsecured IT enabled endpoint devices will soon be reversing consumer incorporate networks which are highly vulnerable to a tax. That is why people are rising identity management today. Because the future that we look at. Okay is truly going to be affected by this new change and how we work and live because of all of these smart devices and what we do addresses it, that’s why we have product roadmap that goes all the way out to the Internet of Things. Because that’s really where we conduct the endpoint in the dream, for what we can deliver against. That’s where really the investments, that’s where we’re doing this.
Sam Donaldson: That’s very exciting and the key of course that is, how much of that do we get? How much does that WidePoint get, so again, I think you’re on the right track, I think the plan is working and we all wanted it to be profitable tomorrow. But I think most of us depend with you a long time, I know you will rate to more. Thanks very much, gentlemen. Good luck.
Jim McCubbin: Thank you, Sam.
Operator: There are currently no further questions at this time. I will now turn call back over to Steve Komar for any additional or closing remarks.
Steve Komar: Thanks, operator. I guess we have addressed all of our listener’s questions and comments. And operator, thank you very much for your assistance. As a closing comment we can, I’ll respect the fact that we continue to be very excited about our business outlook for this year. Specifically for meaningful growth and bottom line improvement for the second half of 2015. The management of the company remains focused on continuing to build the business for the future and maximizing shareholder value in the process. Again, we thank you very much for your continued interest in WidePoint and we wish you all a very pleasant evening. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s conference. We thank you for your participation.